Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global's First Quarter 2015 Results Investor Call. 
 This call and the associated webcast are the property of Liberty Global, and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the express written consent of Liberty Global is strictly prohibited. [Operator Instructions] 
 Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at www.libertyglobal.com. [Operator Instructions] 
 As a reminder, this investor call is being recorded on this date, May 8, 2015. Page 2 of the slides details the company's safe harbor statement regarding forward-looking statements. Today's presentation materials include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time to time in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-K and 10-Q. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations or in the conditions on which any such statement is based. 
 I would now like to turn the call over to Mr. Mike Fries. 
Michael Fries: All right. Thanks, operator, and welcome, everyone, to our first quarter earnings call. I am joined, as usual, by a number of folks on the management team, including Bernie Dvorak and Charlie Bracken, our co-CFOs; Balan Nair, our Chief Technology Officer, Diederik Karsten, who is EVP of European Operations; and a few others you might hear from. 
 The agenda today for us is going to be very typical. We're going to run through some highlights, and then Bernie will take you through the financial numbers. And we'll get to your questions. We are talking from slides, so please -- I hope you have them in front of you and if you do, I'm starting on Slide 4, which runs through our first quarter highlights. 
 Well, we feel we had a lot of very positive developments on the strategic and operating front and, by the way, are confirming our full year guidance today for 2015. 
 Let's start with revenue. Rebased revenue growth was 3%, and -- all the way to $4.5 billion for the quarter, and that's up from 2% growth last year in the same period, and largely on pace with our internal phasing for the year. 
 A few highlights on the revenue. We saw year-over-year revenue growth improvement in 5 of our 7 Western European markets, which helped drive ARPU per customer up 5%. We had another big quarter from mobile and B2B, which grew revenue 16% and 6%, respectively. Rebased OCF growth was only 1% in the quarter, but it's important to point out that this number was negatively impacted by nonrecurring items in Q1 last year, which makes it a difficult quarter for comparison purposes. And again, that result is not far off our own internal phasing for the full year, which is why we're confident in confirming our guidance of mid-single-digit OCF growth and $2.5 billion of free cash flow for 2015. 
 As I mentioned, we had good news across many of our key strategic initiatives and growth drivers that are laying the foundation for continued value creation not just this year, but beyond. 
 Project Lightning, our announced plan to build out another 4 million homes in the U.K., is off to a great start. Early trial results are showing penetration levels in line with our expectations and actually ARPUs above what we had hoped to achieve, which is very encouraging as we start to hit our stride this summer. 
 We're excited about the announced acquisition of BASE, something I'm sure you all heard about, the third-largest mobile operator in Belgium. And I'll talk a bit more about it in a moment, but the deal we view as being financially accretive and completely consistent with the mobile strategy we've been articulating for some time now. 
 The long-awaited launch of LiLAC, our tracking stock, is set for early July on the heels of some very good results in Chile and Puerto Rico. And I'll talk about that in a second. 
 And about 6 months ago, we launched an internal project called Liberty 3.0, which is an initiative focused on accelerating the untapped revenue drivers and operating efficiencies that we know exist in our business and are going to allow us to continue our track record of value creation. So far, it's very exciting, and I'll have a few more words on that in a moment. 
 And then lastly, our balance sheet continues to go from strength-to-strength. We were very active in the capital markets in Q1, refinancing approximately $6.5 billion of debt, reducing our average cost of debt to 5.4% and pushing maturities out even farther so that today, 90% of our debt is due 2020 and beyond. 
 And of course, throughout the quarter, we were busy buying stock, as we told you we would be. About $500 million since the beginning of the year, with an additional $3.5 billion of stock buybacks planned between March 31 and the end of 2016. 
 Turning to Slide 5. Let me address right upfront our RGU results. With 68,000 net adds, this clearly was not our best quarter on the subscriber front. But it is explainable, and nothing about these results has changed our view on 2015. In fact, April was a big month for us, well ahead of last year which, of course, gives us increased confidence. You can see on the chart on the left-hand side that broadband and voice additions in the quarter totaled 240,000, which means really video losses in the first 3 months drove most of that net add figure down. 
 So what happened? Three things, principally. For starters, in Germany, we experienced an impact on churn, which was largely anticipated after our recent rate increases. And we also lost an MDU contract, representing about 20,000 RGUs. The good news in Germany is that we just launched a new and powerful portfolio, which includes Maxdome, our SVoD service with ProSiebenSAT.1, along with more HD and DVR functionality, for an additional EUR 10. This should continue to drive ARPUs, which were up 7% in the first quarter, our highest uplift in almost 2 years. 
 In Holland, 2 things hurt us. First, we saw an increase in disconnects in the former Ziggo footprint, which occurred around the time we harmonized our network of products. Not entirely unexpected. And secondly, KPN continued relatively aggressive discounting at the same time that we had some customers rolling off promotions that Ziggo had offered a year ago. The good news in Holland is that in April, as planned, we launched our unified marketing, branding and product portfolio. We ramped broadband speeds to 200 megabits and, of course, we launched Horizon TV across the legacy Ziggo footprint. Now all of Holland can get apps like Horizon Go; Replay TV, with an EPG going back 7 days; and MyPrime, our SVoD service. 
 The merger integration is going well, and we expect much better financial performance in the second half of Ziggo, in part, due to those synergies kicking in. 
 Again, the good news is that April net adds were back on track and well ahead of our net adds last year, and we're confident we can generate over 1 million net new RGUs in the full year. 
 If you turn to Slide 6. You'll see that our confidence is built, in part, on the success of our next-generation video platforms, like Horizon, which continue to roll out new features, new apps and new content every quarter. All of the performance metrics in this part of our video business are good and are helping us generate higher ARPUs, lower churn and happier customers. 
 Today, 18 million of our 23 million video subs are able to access either our Horizon or TiVo platforms. And in the last 12 months, we added 1 million customers to that base, which now totals 3.7 million subscribers. 
 You can see at the bottom of the slide, penetration levels by country of our next-gen products against our existing enhanced or what we used to call digital subs, led by the U.K., where 7 out of 10 homes have a next-generation box. 
 We've also just launched Horizon in 2 new markets, the Czech Republic and Poland, where we're using the new cloud-based RDK software stack. And the point here, I think, is that Horizon is setting the new standard for video in Europe, which we always expected. 
 The Horizon Go app is now live in 9 countries. Typically, it offers up to 100 linear channels, most of which are available out-of-home, and access to on-demand and catch-up content, including our SVoD services like MyPrime. This is way ahead of the competition in terms of the number of stream-linear channels and the amount of on-demand content. So I think you're getting the point. Horizon, we believe, is exciting our customers, and that investment is paying off. We estimate an average Horizon customer generates 20% more ARPU and churns 15% less than a traditional enhanced video customer. And those economics only get better as we scale the platform and launch our new cloud-based set-top box next year. 
 Switching gears. It's worth spending a few moments on mobile, which we do on Slide 7. In addition to our 16% revenue growth for the first quarter, the biggest news was our announced acquisition of BASE in Belgium, which we believe is a unique and very attractive opportunity for Telenet. The purchase price of EUR 1.3 billion is just 4.2x estimated 2015 EBITDA, including synergies. And the relatively small BASE business will be integrated quickly and efficiently by Telenet. 
 Even after a one-off investment of EUR 240 million to upgrade the capacity and quality of BASE's network and integrate the asset, the multiple's still just around 5x.
 Importantly, the deal secures long-term access to 4G wireless capacity in Belgium on very attractive terms. Despite this deal, our primary focus to drive wireless and quad-play growth remains on MVNOs, together with our rapidly expanding Pan-European Wi-Fi network. 
 We're now operating quad-play services in 9 countries and serving 4.6 million mobile subs, excluding BASE, of course, with annualized total mobile revenue of $1.4 billion. 
 And we expect to launch 4G across all of those markets and we'll keep expanding our Wi-Fi network, which should hit 10 million Wi-Fi spots by year-end. 
 And then the punchline here is we've never been more convinced we have the right strategy to drive mobile penetration to our fixed base. 
 On Slide 8, we provide a quick update on our some of our other strategic drivers, beginning with our B2B business, which is making steady progress not just in the U.K., where we've seen an impressive turnaround, but also on the continent. 
 B2B revenue was up 6% in the first quarter, helped by our SOHO segment, which grew 17%. This strong growth has generated -- was generated in markets like The Netherlands and Germany, which now represent 2/3 of SOHO sales, with ARPUs ranging from $60 to $200, and product that feature 500 megabits down and 40 megabits up in the broadband space. This part of our business, along with the investment we're making in new products and support systems to handle more sophisticated SME customers, are the core drivers going forward. 
 As I mentioned earlier, Project Lightning in the U.K. is off to a great start. A lot of the work to date has been focused on scaling up the build program. We did add 36,000 new homes passed in the first 6 weeks since we announced the project. And we expect to add an additional 150,000 homes passed this year before really ramping up in 2016 and beyond. 
 We're seeing great results on the sales side so far, with penetrations in line and ARPUs higher than we budgeted. And on top of that, with essentially no money spent on marketing yet, we're getting tens of thousands of registrations through our Cable My Street website. 
 So we continue to be very excited about this project and are actually pretty confident that the same type of newbuild opportunity exists in many broader European markets. 
 I'll finish this page with a quick snapshot of Liberty 3.0, which I'd referenced earlier. Over the last 10 years, in what we kind of called Liberty 2.0, we scaled the business dramatically and we achieved what we believe was industry-leading growth and value creation. On the back of that success, we felt that there's really no better time to think about transformation as a long-range opportunity than from a position of strength, which means now. So together with senior leadership, I've been working on the revenue, cost, capital and organizational opportunities that will drive this next phase of growth for us. And we don't expect to announce anything concrete until late summer but, so far, the results are exciting. Our ability to realize further efficiencies across our internal, external cost base; our opportunities to drive top-line growth; and our continued focus on the lean and entrepreneurial management structure we think should materially enhance what are already great growth prospects. 
 And then finally, talking about growth opportunities, I'll close my remarks today on Slide 9 with an update on Latin America and the upcoming LiLAC tracking stock. From an operating point of view, VTR and Puerto Rico delivered great results in the first quarter, with a combined 36,000 new RGUs, 5% fee-based revenue growth and 6% OCF growth. That's a good start to the year, especially in light of adverse FX effects in the quarter. 
 We expect the tracking stock to begin trading early July, and in the next few weeks, we'll announce the record and distribution dates. 
 I'm excited about offering investors the opportunity to own a pure-play cable platform in Lat-Am. There really isn't anything like it, and we know we're well positioned to exploit M&A opportunities, given the fact that we've had 20 years-plus of experience in the region and a pretty good track record in Europe. 
 Before launching the tracker, we expect to close the Choice transaction in Puerto Rico at a synergy-adjusted multiple of around 6x. And that will give us, of course, an island-wide footprint to drive scale efficiencies there.
 And on a side note, we're sorry to see Luis Morales [ph] move on. Many of you, I'm sure, are aware of that. But I'll just point out, we have tremendous talent across our footprint of 52 million homes passed and 38,000 employees. So without a doubt, we won't miss a beat here. 
 To wrap it up. We feel much better about the underlying fundamentals of our business than, perhaps, these Q1 headline numbers suggest. We had a lot of issues arise all at once between January and March. But we're off to a great start to the second quarter and feel really good about the full year. 
 So I'll now turn it over to Bernie. Bernie? 
Bernard Dvorak: Thanks, Mike. Slide 11 shows our reported and rebased revenue and OCF results for Q1 2015. During the quarter, we reported $4.5 billion of revenue, roughly in line with the prior-year period. Adjusting for FX acquisitions and dispositions, we posted 3% rebased revenue growth in Q1. 
 From a regional standpoint, our European operations delivered $4.2 billion of revenue in the quarter, with rebased growth of 3%. I will give more details on our 5 largest European markets on the next slide. 
 Outside of Europe, our Latin American operations, which consist of Chile and Puerto Rico, reported $290 million in revenue, with 5% rebased revenue growth. 
 Turning to our OCF results. We reported $2.1 billion of OCF in Q1 2015, resulting in 1% rebased growth. This reflects a difficult comparison, as the results in Q1 2014 benefited from several nonrecurring items that we detail in our earnings release. Considering the tough comparative period, the OCF growth rate in Q1 was consistent with our phasing expectations and we remain confident in our ability to achieve mid-single-digit rebased OCF growth for 2015. In this regard, we expect our rebased OCF growth rate to accelerate over the next 3 quarters. 
 Looking at our 2 regions. Our European OCF grew 1% on a rebased basis, impacted by the aforementioned nonrecurring items. Our Latin American business grew its OCF by 7% on a rebased basis. Our overall OCF margin for Q1 2015 of 46.4% declined slightly from the OCF margin in Q1 2014 of 46.9%. 
 On Slide 12, we take a deeper dive into the Q1 2015 financial performance of our Big 5 markets that comprise over 80% of our total revenue. In the U.K., Virgin Media delivered rebased revenue growth of 3%, an improvement versus the 1% rebased growth in Q1 2014. This year-over-year growth was primarily due to subscriber additions, partially offset by the net impact of certain items, including a $33 million headwind from VAT changes and the $18 million net positive impact from the upfront recognition of revenue in connection with Virgin's Freestyle Mobile promotion. 
 Moving to Belgium. Telenet posted rebased revenue growth of 7%, which compares to 3% rebased growth in Q1 2014. The higher growth was driven by continued subscriber increases, higher ARPU and increases in mobile subscription revenue. 
 Switzerland reported 5% rebased revenue growth, an improvement from 4% growth in Q1 last year. UPC Cablecom's growth was primarily due to an increase in ARPU, growth in subscribers and success in B2B. 
 Our German operation posted 5% revenue growth, a decline from the 8% posted in the prior-year period. Similar to Belgium and Switzerland, growth in subscribers and ARPU played a key role in Germany's revenue growth. The Q1 2015 rebased growth was adversely impacted by a $12 million favorable nonrecurring network settlement in Q1 2014. 
 Finally, in The Netherlands, we reported 1% rebased revenue growth, a significant improvement from Q1 2014 performance, which only reflects our historical UPC Netherlands operations. 
 Slide 13 highlights our property and equipment additions and free cash flow. Our P&E additions as a percentage of revenue increased slightly from a year ago from 20.1% in Q1 2014 to 20.5% in Q1 2015. In absolute terms, we reported $925 million of P&E additions in Q1 2015, an increase from the $910 million reported in the first quarter last year. This increase was primarily related to higher additions in support capital in the quarter, including costs associated with Virgin Media's new mobile billing system and the inclusion of Ziggo in Q1 2015, partially offset by lower CPE spend and the impact of a stronger U.S. dollar. 
 As we stated on the Q4 call, we anticipate our P&E additions as a percentage of revenue will range from 21% to 23% for fiscal 2015, including the initial expenditures associated with Project Lightning in the U.K., which we expect to ramp in the second half of the year. 
 Turning to our free cash flow performance. We reported $330 million of free cash flow in Q1 2015, largely in line with the performance in Q1 2014. Free cash flow for the quarter was positively impacted by the inclusion of Ziggo, offset by higher cash taxes, primarily at Telenet, and the strengthening of the U.S. dollar against all of our underlying currencies. 
 As Mike has already mentioned, we remain confident in delivering $2.5 billion of free cash flow in 2015. 
 Moving to Slide 14. We take a look at 3 items: our leverage ratios, share repurchases and our historical borrowing costs. We ended Q1 2015 with total debt of $44.1 billion, down $2.1 billion from Q4, primarily due to the depreciation of our borrowing currencies against the U.S. dollar, partially offset by over $600 million of additional net borrowings. 
 At the end of the quarter, our gross and net leverage ratios stood at 4.9x and 4.8x, respectively, so within our 4x to 5x targeted leverage. We continued to take advantage of attractive capital markets and refinanced around $6.5 billion of debt in Q1 2015, including refinancing activity associated with the restructuring of certain of our credit pools to create regional-focused financing vehicles. 
 As a result of these financing transactions, our tenor and cost of borrowing continued to improve, as we now have an average tenor of nearly 8 years, while our fully swapped borrowing costs decreased 60 basis points from year-end and now sits at a record low of 5.4%. 
 As indicated in the graph on the far right, we have been able to improve our fully swapped borrowing costs significantly over the last 4 years from almost 8% in Q1 2011 to its current level. 
 In terms of share repurchases. We repurchased nearly $500 million of our equity in Q1, leaving approximately $3.5 billion to repurchase through the rest of 2015 and 2016. 
 In summary, we are reconfirming all guidance targets for 2015. The price increases we put through in Q1, together with improved RGU performance, are expected to support our growth during the rest of 2015. We have made good progress on the innovation front and are expanding our next-gen services to more markets. We are seeing encouraging results from our Project Lightning trials and are looking forward to the ramping of network construction in the second half of 2015. 
 Additionally, we are excited about the coming launch of our LiLAC tracking stock in July, and we remain committed to driving continued shareholder value. 
 With that, I will hand it back to the operator to take any questions. Thanks. 
Operator: [Operator Instructions] And we'll take our first question from Michael Bishop with RBC Capital Markets. 
Michael Bishop: It's Michael Bishop from RBC. Just a question on the 1 million RGU target. Given the trends in the first quarter and what you've seen in April, how should we expect the mix of RGU growth to trend throughout the year? Do you expect a good improvement in the video losses? Or should we continue to expect the broadband and telephony to remain at these levels or slightly pick up? And can you just walk us through which markets you expect a strong turnaround in to hit the 1 million? 
Michael Fries: Well, generally, we don't give that kind of detailed guidance, of course, on our net adds, but it wouldn't be crazy to look back at our historical growth and which markets have historically driven that growth, principally, markets like Germany and a turnaround, to some extent, at Holland in the second half of the year. All those things would be a typical approach if you were looking for one. Clearly, the video loss figure in the first quarter was something we had not experienced in the past. So that is a focus area. And we're used -- we're hoping to get back to more regular volumes in voice and broadband. So I'm really not giving you anything specific because I can't, but I would tell you that it's not going to be materially different than our past trends. And if you were to look at those either by geography or product, I think you'd get pretty close. 
Michael Bishop: Could I just pick up really quickly on the newbuild point that you mentioned, as well, around other opportunities outside of the U.K.? Do you have any sense of the scale of the opportunities and which countries would be the easiest, given the data points around Virgin, with the new homes being so close to the network? Is there an obvious country that would be next? 
Michael Fries: I got to be careful because we're still doing the work. Certainly, Germany looks like a market where there are interesting and very affordable build opportunities. I wouldn't want to quantify it for you, but it should be -- potentially, it could be as big or potentially even much bigger than the sort of numbers we're looking at in the U.K. But it's premature. You can imagine, after seeing the returns that we saw and expect to see in the U.K. on a project of that scale, it forced us to look at other parts of the footprint. And I think the punchline is we do feel there's going to be opportunity there. And when we have more specifics, you bet we'll tell you about them. 
Operator: We'll take our next question from Amy Yong with Macquarie. 
Amy Yong: Question just on the Dutch market a little bit and just drilling down on some of the growth opportunities there or potential competitive threats. Can you talk a little bit about what you see from Vodafone and their potential entrance back into the Dutch market and potentially KPN and Belgacom coming together, and what that could mean? 
Michael Fries: I'll let Diederik comment on the first one. We don't see -- well, we don't know anything about KPN and Belgacom coming together. You may know something we don't know. I will say that Belgacom's a fairly rational competitor, for the most part, and has demonstrated a certain amount of comfort in a duopoly environment. So quite frankly, we'll see -- I don't know who's going to own KPN in the future, but we're not worried about that. We think that their behavior certainly in the last 2 or 3 quarters reflect a relatively aggressive and probably unsustainable approach to unit growth or market share growth at the expense of economics. I mean, adjusting for their one-offs or something of that -- they got negative revenue and negative EBITDA again. So they're buying share and that's one approach. It's certainly not, in our view, the right approach or a sustainable approach. So who will own that asset down the road? Who knows. But it doesn't concern us, to be honest with you. And on the Vodafone front, do you have any details on that, Diederik? 
Diederik Karsten: Mark, yes. With regards to Vodafone's position in residential fixed, they are a, what we would say, small player, heavily supporting this move but still relatively small and not showing, I would say, dramatic growth where it would be up to them to respond to that. But it's a small base... and that is less than 60,000 in total. Did I address your question? 
Amy Yong: Great. And how do we think about the synergies in the back half for Ziggo? 
Michael Fries: I think the synergy, we haven't given detailed synergy estimates, but it's certainly safe to say that of EUR 250 million, which is our reported synergy budget, 15%, 20% of that you might get in the first year. Most of that will be kicking in, in '16 and '17. And you can probably do the math on that. 
Operator: And we'll take our next question from Tim Boddy with Goldman Sachs. 
Tim Boddy: Yes. I wanted to ask a little bit about how the KPIs are getting back on track and what you've done to create such a strong momentum in April. Historically, when we've seen cable companies see weaker customer growth, there's normally 3 fairly simple answers. You lower your prices and you raise marketing costs. So you put more in the bundle and spend more CapEx. Better set-top box or higher speeds. Are those the sort of things you've done to get it back on track? Or is it just that there was a one-off blip? And then, I guess a brief follow-up on that is, do you think that you may have taken too much price in some of these markets too quickly in the first part of the year compared to in the past, where I think you've been a bit more cautious? 
Michael Fries: Yes. Good question. And on the price point, we are -- we work on that all the time. And we do feel that the price increases were reasonable and we do see competitors, in some cases, taking price increases not necessarily as high in all cases but taking them as well. And we have said very clearly to you that we believe there is pricing power in these markets. But it's not a science, so we will take a 10% increase in Germany across a very large broadband base and see what happens and then work with the data that we're given. So it's -- other than the U.K., which is -- not a science, but certainly more predictable, where we're able to take 5% to 7% rate increases with pretty good certainty and pretty good forecast around what might happen. In other markets, it's a bit of a voyage and we're learning as we go. Having said that, we did take price increases in 12 of our 14 markets in and around the turn of the year and in the first quarter. And so not completely unexpected to see some. And we did expect, by the way, some impact on churn and sales. What's happening in April is you're seeing those rate increases bed down. You're seeing, of course, whatever blips may have existed taper off. And we are, in the case of Germany and Holland, which represent the vast majority of that number for us this quarter, we -- as I articulated, we're seeing -- we're actually just now launching or have recently launched sort of new products. In Holland, the nationwide rebranding and launch only happened in mid-April. So we're hopeful there that our -- a nationwide Ziggo brand, with better products with Horizon, will ultimately have the impact and effect that we want. And in Germany, we continue to raise fees and drive share and do the things that we know have worked in the past. So it is not just simply discounting and promotions. It's what we think is the longer-term product strategy bedding down and of course maybe a little bit of that blip, if there was one, tapering off. 
Tim Boddy: So just to clarify. You're not having to invest more to get the KPIs back on track? 
Michael Fries: That is not the strategy. I mean, we're investing what we anticipated investing. Not spend necessarily in every case to try to drive unit. I mean, we're about profitable growth. We're -- the reason we don't generally give RGU guidance, and we have in this instance to hopefully provide some comfort, is because we're really all about profitable growth and looking at the longer-term prospect of, in particular, operating cash flow and free cash flow growth. So we're planning and managing the business for it on a slightly different horizon than quarterly results might indicate from time-to-time. And in that instance, we're not going to overspend in any particular period to compensate just because we might have had what we just experienced here in the first quarter. That's not the way we normally run this company. 
Operator: We'll take our next question from Ben Swinburne with Morgan Stanley. 
Benjamin Swinburne: I have 2 questions. Mike, just thinking about 3.0, I don't how much you're willing to go into detail, I realize you've got more coming later this year. But when I think about your company, your margins are already quite high, higher than anyone in the U.S. I'm sure on procurement, you've done a lot to make sure you're getting the best prices. And you've identified some new growth opportunities around mobile and B2B and newbuild. So is 3.0 incremental stuff on top of all that? And should we be thinking about things along the line of accelerating revenue and sort of margin expansion? Any more color you can add about it, sort of putting that in context for us? 
Michael Fries: Sure. I mean, I guess I'd say, to begin with, while we have been quite successful in merger integration and great, we think, building scale, the business in the last 3-plus years, we have added a large amount of cash flow and customers into the group. So even though we are proud of the work we've done in our merger integration and synergies and we, more or less, either exceeded or hit every number we've articulated, we do know that there are smarter and more efficient ways to do the things that we do. And I would say you've identified some of those areas, for sure, where things like procurement, supply chain management, network management, there are a number of things we know we can do even more efficiently than we're doing them today. And we do have the people and we do think we've got the organizational resources and will to make that happen. So it's really -- it's a pretty rigorous process, Ben. It's not just staying back and saying, "What would we like to do?" I'm looking at every single line item, every single internal/external spend item, benchmarking ourselves, trying to understand where the gaps might exist, why they exist, looking at processes, management processes, business processes and putting in place what we think will be a realizable and achievable goal for a 3- to 5-year time frame. On the revenue side, if you were to have a look at our current LRP, we do not have many of the things you articulated in that current LRP because their new. I mean, Project Lightning is the last thing we layered in to our view of the next 3 to 5 years. And it was certainly accretive, but we haven't layered in a more aggressive approach to B2B and SOHO. We haven't layered in a more aggressive approach to mobile. We haven't layered in additional newbuild opportunities. So it's about looking at both the top line and how we run and manage and operate our business. Putting those together, overlaying those on top of what we already think is a very attractive 3- to 5-year time frame. I mean, when I say very attractive, meaning, as good or better than we're giving you guidance this year just because we know the rhythm and pace of our business, and we feel very good about that as we look out 3 to 5 years. It's looking on -- looking at that and overlaying on that the things that I've described in a really rigorous way. I don't mean to say that this is stuff we're just penciling out. It's stuff we are working with external resources on, identifying line item by line item. And it's a very healthy process for us as a management team and as a company, something, I think, we're going to be very proud of and we also think will be accretive. 
Benjamin Swinburne: That's great. And actually, I did want to come back to the guidance for this year. I think everyone was expecting or is expecting a robust '15, given the synergies and some of the momentum you have particularly at Virgin, where the numbers are really strong. But you've had some things that -- out of your control, like the VAT come in and hit the numbers a bit, particularly in the U.K. Should we be thinking, given Q1, that maybe the lower end of mid single is the right way to think about '15 on rebased revenue and OCF? Or is it too early to sort of be that fine about it? 
Michael Fries: I wouldn't want to give you that. I think it's too early and I don't know if we would, as much as I'd like to, would give you that sort of visibility anyway. But it is definitely early, I mean, [indiscernible] months in the books. 
Operator: We'll take our next question from Frank Knowles with New Street Research. 
Frank Knowles: Yes. I had a main question on the U.K. and an additional one on tax, if that's okay. Just on the U.K. You reported good churn but actually net adds were slightly slower, both in customers and RGUs, than the equivalent period last year. So is it fair to say that the gross add environment is getting a bit tougher in the U.K.? And also, is that something you would expect to get more -- fiercer competition in the rest of year as BT starts to move into mobile and gets the Champions League rights and spends to support that? And then the second question, just on tax. Obviously, there was -- a sort of a reasonably big tax, cash tax outflow in the first quarter, which I'm presuming was mainly Telenet. Just wondered, aside from that, whether the outlook for cash taxes has sort of changed this year and maybe into next. 
Michael Fries: Sure. Tom, do you want to address the U.K. point? 
Thomas Mockridge: Yes. Thanks, Mike. Particularly for us in Q1, the real issue we had was in January and, to some extent, in February when one of our major competitors went out with a free broadband offer that we chose not to match. And that's something that, in general, we have never done, offer free as a price point. And I think what it meant we had, particularly in January and flowing through into February, is a lot of gross adds than we otherwise would've expected. That offer's since been withdrawn. And the market is, whilst always competitive, and of course we offer reasonable discounts but certainly not at that level. And we've seen a correction through the second part of the quarter and into this beginning of Q2. So we're confident that we can restore a more normal net growth trajectory. And in fact, we'll build on that with Lighting as we move forward and will contribute significantly in the U.K. to the net target of the group over these full 12 months. 
Michael Fries: Great. Charlie, do you want to hit the tax point? 
Charles Bracken: Yes. You're right, Frank, the key driver was the [indiscernible] on tax payments, which I think, hopefully, is not a surprise to anyone. And we would expect that -- and then with some obviously shield created through the BASE acquisition. But they remain relatively material taxpayers of this quantum over the next few years. Although, as I say, BASE will certainly help. We do start to see ourselves paying tax in countries like Germany, to some extent, Switzerland and in VTR. But I think you can assume that the tax, as we see it going forward, will be manageable and it's definitely consistent with the free cash flow targets that we've given the investors. So the tax burden will increase slightly, but I wouldn't say it will be a material drag on our ability to deliver the free cash flow mid-teens growth that we've been targeting. 
Frank Knowles: That's really helpful. If I could just come back on the U.K., just a comment maybe on the sort of second half of the year, if BT starts spending heavily on promotion around mobile and Champions League. 
Thomas Mockridge: We are very confident that we've got the breadth of proposition to compete very effectively against BT. We're in a position in this industry where, due the number porting, you can keep a close eye on the shifting between the operators that are also offering home telephony. And we consistently have a good net position vis-a-vis against -- vis-a-vis BT. In terms of them going forward, it's a long time until the deal with EE will close, so we don't see that as an issue this year. And going forward, we expect BT to continue to be the rational operator as they have been in the past. 
Operator: We'll take our next question from Vijay Jayant with Evercore ISI. 
Vijay Jayant: Mike, just wanted to get your perspective on EU's mandate of trying to get a single market for both digital and telecom. Any implications or opportunities you see broadly for Liberty Global? And second, I just wanted to -- given that you're starting to identify additional newbuild opportunities in the rest of Europe, can you sort of talk about -- can you do many of them at the same time, how the buyback is sacrosanct or not if you do a lot of these and sort of impact CapEx. And any color on that would be appreciated. 
Michael Fries: Sure. On the newbuild point, I think as we've demonstrated or I believe we articulated to you in the Project Lightning case, these things are somewhat self-financing, meaning that the expenditure of capital is -- in our view, there is a gap between when you spend it and as you -- and when you start to generate cash flow. But that gap is more of a working capital or bridge gap and, over time, the additional cash flow you're generating from these newbuild customers start to finance the project. So I can't remember what we said specifically, maybe Charlie or Tom can up and remind me, but I think we more or less indicated that Project Lightning is somewhat self-financing on its own balance sheet, so to speak, and does not impact -- certainly, I know we said this, will not impact and does not impact the buyback as we've currently forecasted it. I would imagine that almost any newbuild opportunity we identify and choose to pursue outside of the U.K. would be of a similar nature and would not materially impact our ability to maintain our approach to the capital structure. So it's a general statement, I appreciate that, but I do think that if we can pull it off in a market like the U.K. with that kind of number and that kind of scale, we surely can do it in other instances, which are likely to be smaller, individually smaller and less material to those operations on a relative basis. In terms of the EU regulatory framework, they're looking at, certainly, a single market from telecom -- a telecom perspective and a digital perspective, what does that mean? I think it means mostly good things for us. It means that the EU is trying to look at Europe as a single market, which usually indicates they're focused on level playing fields, they're focused on reducing barriers to entry across markets, they're focused on limiting the friction that might exist when people do things that protect markets. And we like that trend. If you think about how it's manifested itself for us, consolidation is clearly viewed as a positive. And we are 1 of only 3 or 4 really important European consolidators in the telecom media space. And you might put Deutsche Telekom in that position, you might put Vodafone in that position, maybe 1 or 2 others. But when the dust settles, there's only going to be a few of us who are going to take advantage of a single market and are going to realize the benefits and synergies and scale opportunities that a single market provides. I do think it means, in principle, a slightly lighter regulatory touch, which I think is a positive. For the most part, national regulators, where a tension often exists between Brussels and other regulators, are going to want to be thoughtful of how this is implemented, and things like net neutrality are certainly flashpoints. But on balance, the European regulatory framework is much more sensible, much more, I think, economically driven when it comes to those hot buttons, if you will. And we feel very lucky at this point to be in that marketplace. And I guess, if you read the press, I've said enough about what's happened here. But the point is that, that we do believe European regulators, both at the national level and the parliament level or the Brussels level, are focused on encouraging infrastructure competition, encouraging investment and encouraging innovation in a way that's a win-win for consumers and business as opposed to one that is not balanced and clearly focused on very popular or populist-type policies with no basis in the economics of the business or the strategic direction of the businesses. So it's a long answer but one, I think, should help you conclude that we feel pretty good about it, and a single market focus is good for us. 
Operator: We'll take our next question from Jeff Wlodarczak with Pivotal Research Group. 
Jeffrey Wlodarczak: Two questions. Back of the envelope, I'm calculating x one-offs sort of a 4% rebased revenue and 4% rebased EBITDA growth. Does that seem like it's in the ballpark? 
Michael Fries: Good work, Jeff. I mean, we're not -- the accountants and the lawyers want to encourage us not to, quarter-to-quarter, quantify these things for folks because it becomes a slippery slope. But it sounds like you've got data that you're using and -- that those -- I can't comment on more than that. 
Jeffrey Wlodarczak: Yes. Fair enough. And I guess, on Telenet, the acquisition of BASE. Historically, you all were somewhat skeptical of owning wireless, especially if you gain control of the entire cable footprint throughout the country. Can you talk about what changed your thinking and how that applies to, potentially, other large markets that you're in? 
Michael Fries: Yes. It's a good question. And I do think we've always said, I know I've always said, that in -- there will be instances where our scale in the market are -- the size of our mobile operation and the size of the mobile candidates, if there are acquisition candidates, all of those things combined would be important factors in determining whether we would ever own a network versus just rent a network. And in this instance, given Telenet's strong position in the Flemish market, given the fact that BASE is a relatively small business with a reasonably good network, given the fact that we have immediate synergies from rolling -- getting what is getting close to 1 million mobile subs onto our -- a new network, which would be our network and the synergies associated with paying ourselves those rental fees, if you will, there are some pretty compelling economics. It's not a strategy that we intend to deploy in every market. I think we're clear about that. It's not a strategy we think is necessary in every market. I'm not entirely sure it was absolutely necessary in Telenet's case, but when you're presented with these opportunities and the economics and the pricing and the overall strategic opportunity looks good, when you add it all up, then we're going to take advantage of that. And I think you'll see that this will end up being a very, very good deal for us and one that fits those 3 criteria I outlined. In other markets, TBD, too soon to tell. But this one fit the bill. 
Operator: We'll take our next question from James Ratcliffe with Buckingham Research Group. 
James Ratcliffe: Two, if I could. First of all, on Ziggo, you mentioned part of the subscriber pressure was lapping some pretty aggressive pricing packages from 1Q '14. Does that pressure continue through the year? Were similar packages offered to customers over the course of '14? Or does that start to taper off after 1Q? And secondly, how low can fully swapped borrowing costs go? I think Charlie said it at one point, that if you get -- if you could refi everything, you'd be at sort of 4.8% or something like that. Is that level kind of still doable? And what sort of time frame can we think about for bringing down the cost of some of these existing higher-cost debt? 
Michael Fries: Sure. On the Ziggo question, I'm not aware, myself, of other issues or other promotions that they may have launched. Diederik, if you do know that, feel free to chime in, but while you're thinking about that, Charlie, do you want to address the borrowing costs? 
Charles Bracken: Yes. Look, we've been borrowing in the low 4s in our transaction. As you know, we borrowed just under 10 billion dollar-equivalent in Q1, so around 11 transactions. And that's a combination of senior and subordinated debt. But the markets, as you know, have been very strong. And we've been achieving rates in the low 4s. If you think that we're in the kind of mid-5s today, that still gives you pretty substantial upside, and you're right to highlight that. The key is, in how quickly we can execute against that, there's 2 factors. One is, clearly, market capacity because you can only do so much at a time. And we do have the call protection on much of our debt. So I guess, all I can say is rest assured that we're highly focused on trying to give our shareholders the benefit of the repricing of our debt. But we are obviously looking at the return on capital in relation to these call protections. And as you witnessed by the issuance in Q1, we're very, very actively hitting windows as they become available in the markets. But all things being equal, you're right, it's low 4s cost of debt, plays in the mid-5s today. 
Michael Fries: Diederik, are you on? 
Diederik Karsten: Yes, I'm on, Mike. We're not aware of massive roll-offs of further 2014 promotions. And this phenomenon isn't new to us, and I'd say that the new portfolio, I think we're in a better position than we were in Q1 to keep these customers attracted. If they are attracted to anything else, we can give them better packages. For example, with regards to Ziggo, it would be the Horizon focus triple-play. And that's something which we were not able to do in Q1. So in Q1, we didn't have that safety net like you alluded to before. 
Operator: We'll take our next question from James Britton with Nomura. 
James Britton: Just a question on the mobile strategy, please. I mean, I think you mentioned in the presentation that you're getting ready now to launch 4G services. So I just wondered if you still see scope for 30% plus margins on a SIM-only MVNO model in the 4G world? Or are you having to settle for lower margin, given it is so CapEx-light? And given your confidence in the strategy, when could we really expect a big push forward on mobile growth? 
Michael Fries: Yes. And I think the -- in some instances, the economics of our 4G deals are visible and transparent. In others, they're less transparent, even to us, as we work through them. You were right in suggesting that when a product is -- when a 4G product is launched, typically, there is an increase in consumption. And our pricing of that 4G bandwidth and -- is clearly critical in determining margins. Having said that, there's a lot of moving parts in determining margin. There's price, there's bundles, there's churn. There's a whole number of things that impact our margin in mobile and its impact on our overall business. I mean, one of the reasons why we believe in the quad-play is we've proven in a place like the U.K. a quad-play customer churns 75% less than a regular customer. So we do know that there are benefits to the entire business, not simply the mobile margins, so to speak, when you are able to offer consumers a quad-play product. So we think Europe's a quad-play market. We do look at individual economics, as you suggest, and I'm not going to walk through every market and describe that to you. But I will tell you that we also look at the broader impact on our existing customer and future customer base, in -- with respect to churn and retention, which is a critical component of any business like ours. And in terms of the mobile pace of growth, [indiscernible] now. We're just now getting going, if you will, in the other markets, Belgium and U.K. are clearly our biggest markets, and have been and will continue to be. But with recent launches across our consolidated mobile platform happening across several other markets, now 9 total, you should expect that we will be pushing those products more aggressively. So I think now -- starting now, over the next 18, 24 months, you're going to see the mobile piece certainly become a bigger part of our growth. 
James Britton: Are you able to say where you're going to be offering 4G in 2015? 
Michael Fries: Well, we have -- I don't know, Balan, if you're on. Balan? 
Balan Nair: Yes, I'm on. Well, we'll certainly come out in The Netherlands, Switzerland, Belgium and in the U.K., where we're now just looking at the right time frame. 
Operator: And we'll take our final question from Matthew Harrigan with Wunderlich Securities. 
Matthew Harrigan: Two questions. One, following on that CTO panel at INTX, it really talked to how amicable and win-win the relationships are for the broadcasters now in catch-up, doing a lot of unicast and random access programming. But I'm curious, going forward, I mean, if you do more of that, you got 4K coming along, which probably won't be simulcast. I mean, are you pretty comfortable that you have the latitude to manage your capital budget? I mean, these ROIs in the U.K. on Project Lightning and all that are wonderful but do you think that there could be some wildcards on the CapEx side? And then secondly, in the U.S. now, everybody is really excited about the set-top box measurement and advertising search and targeted advertising. I mean, you've pretty much been 0 in that area, in the advertising side. But if your network, being among the best in the world, it seems like that could be a really nice high-margin layer to add on over a period of time. 
Michael Fries: Yes, good questions. On the advanced advertising side, funny enough, we -- well, I think we're 4 months into a project with a dedicated team now based in Amsterdam, focused on Big Data and advanced advertising for us, looking at what's happening everywhere in the world and particularly in the U.S. but also some markets. We have launched a couple of markets in our -- we do generate a small amount of advertising revenue, but I will tell you that over the next -- this isn't another example of a slice of our business that, as you indicate, has been unexploited, where we now feel, with really a modest amount of resource, we can start to take advantage of the 50 billion hours of television data we have and the billions and billions of DNS clicks everyday to do in an appropriate and consumer-friendly way, start to generate some revenue with partners, particularly advertisers who are looking to improve the performance of their traditional ad businesses. So the answer is, yes, we are on it. I could not have said that 6 months ago or even 4 months ago. But we are on it today, and we think there is an interesting opportunity there. And we intend to take advantage of it. Balan, do you want to speak to the CapEx point? It sounds like your question, Matt, is with 4K, with more intense use of the broadband infrastructure will -- are we spec-ed properly? Do we have the "bandwidth" over the next 3 or 5 years? And I ask that question pretty much every month, and the answer I get is fairly positive because we are thinking way ahead. We're not thinking about next quarter. But go ahead, Balan, if you want to add any color to that. 
Balan Nair: Sure. Yes. We -- for the next 5 years in our LRP, we've put in a plan to manage against the capacity growth that we see as the prolific trend that we've seen over the last couple of 3 years, which is pretty aggressive. But we are doing some work for Mike on looking at what if it gets even more aggressive than that. Recently, with -- and even with more traffic going on on-demand, both from cloud because of your PDR as well as increased VoD usage, we think we've got that covered as well through a whole bunch of different ways and not just throwing capitals upfront. And finally, on 4K. When we launch 4K, we would use an encoding called HEVC, which would drop the actual bit rate for 4K back to the same levels of HD. So we think, yes, there will be some incremental capital need for increased usage if it goes way beyond where we're at. But as of now, we're pretty comfortable where the numbers are. 
Matthew Harrigan: Everyone enjoyed your FCC comments, by the way, Mike. 
Michael Fries: I'm doing my small part. Anyway, listen, I guess that sounds like our last question. So I'm glad we set aside a bit more time than usual to get to your questions. They're all very good and we're happy to answer them. We are focused on the full year, as you'd expect us to be. And we think there are a lot of really good things happening in our business strategically, operationally and financially. And as usual and, as always, we appreciate your support, and we'll talk to you soon, in particular, on our second quarter. Thanks, everybody. Have a great day. 
Operator: Ladies and gentlemen, this concludes Liberty Global's First Quarter 2015 Results Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global's website at www.libertyglobal.com. There, you can also find a copy of today's presentation materials.